Operator: (Operator Instructions) Welcome to the Kulicke & Soffa Fourth Fiscal Quarter and Fiscal 2009 Year End Results. It is now my pleasure to introduce your host, Mr. Tom Johnson, Director of Investor Relations for Kulicke & Soffa.
Tom Johnson: Welcome to Kulicke & Soffa's 2009 fourth quarter and fiscal year end conference call. For those of you who have not seen the results announced this morning, they are available in the Investor Relation section of our website at www.kns.com. An audio recording will be made of this entire conference call, including any questions or comments that participants may contribute. This recording may also be accessed from the Kulicke & Soffa website for a limited time. During today's call, we will make reference to non-GAAP financial measures. Reconciliations to those measures are to the most directly comparable GAAP results are also posted to the Investor Relations section of the website by the GAAP to non-GAAP reconciliations link. The content of this conference call is owned by Kulicke & Soffa Industries and is protected by US copyright law and international treaties. You may not make any recordings or other copies of this conference call and you may not reproduce, distribute, adapt, transmit, display or perform the content of this conference call in whole or in part without the written permission of K&S. Today's remarks are governed by the Safe Harbor provisions of the 1995 Private Securities Litigation Reform Act. Actual results may turn out significantly better or worse than indicated by any forward looking statements we may make this morning. For a more complete discussion of the risks associated with the operations of Kulicke & Soffa, please refer to our SEC filings, particularly the 10-K for the year ended September 27, 2008, and our other recent SEC filings. It's now my pleasure to introduce the host for today's call, Scott Kulicke, CEO and Chairman of the Board.
Scott Kulicke:  Welcome to our call, the purpose of which is to discuss K&S’s financial results for the September 2009 quarter. Considering the year we’ve all been through results for the September quarter were quite good. Revenue grew to $110 million more then doubling from the June quarter. With this revenue growth, coupled with our previous expense reductions, K&S has returned to profitability. The semi-conductor industry and the electronics industry in general have rebounded from last winter’s unprecedented downturn. For K&S that took the form of increased revenue in all our established product lines with ball bonders leading the way. Improved demand came from both IDM and subcontractors and across every market segment with the exception of memory. Our memory customers continue to defer back end CapEx although as memory unit volumes continue to grow they will either have to start spending or to put their incremental units into subcontractors. K&S should benefit either way. We also see continued strong demand from the LED market. I’ll talk about expectations for the December quarter and the trends we see in the industry in a moment. First I’d like to turn the call over to our CFO, Mike Morris, for a detailed review of our financials.
Mike Morris: My remarks today will include non-GAAP measures as a supplement to our GAAP results in order to provide a better view of our financial performance. The items we exclude to determine our non-GAAP measures are explained in our earnings release and are also provided on our website. As was the case last quarter, all operating results associated with our former wire business are reported as discontinued operations and are not included in the current or prior quarter’s discussions. On today’s call I will compared the September quarter to the June quarter and will refer to non-GAAP numbers unless otherwise noted. As Scott mentioned, results for the September quarter were good. Net revenue for the period was $110.5 million up $58.4 million from last quarter. Volumes were up across all of our product lines except Die Bonders. As we continue to phase out our legacy die bonder models and while our new iStack die bonder completes its customer qualifications. The revenue increase for the period was driven mainly by ball bonder volume, although heavy wire wedge bonder and expendable tool volumes were also up significantly. Ball bonder unit sales were weighted toward subcontractors who comprise about three quarters of our ball bonder shipments. Gross profit was $47.2 million up $27.5 million from last quarter. Our gross margin was nearly 43% up roughly five percentage points from the June quarter as the volume pickup, drove improved absorption of our fixed manufacturing costs. Operating expenses were $35 million up $3.4 million from the June quarter and were better then the projection we provided in September. The expense increase was driven by costs associated with our higher sales, including employee incentive compensation expense and higher conditions to our sales representatives. As a measure of our operating leverage 41% of our incremental revenue this quarter fell through to operating profit. As we discussed in our previous calls, our operating expense reduction plan has generated roughly $22 million in annualized savings and is essentially completed. For this reason, we will not provide operating expense guidance going forward. Turning to the balance sheet, we ended the quarter with total cash and investments of $144.8 million an increase of $27.5 million from last quarter. Working capital, defined as accounts receivable plus inventory less accounts payable, grew $25.5 million due to the significant increase in sales. From a days perspective, however, our working capital performance was good. DSO was 78 days down 9 days from 87 days last quarter. DSI was 59 days down 58 days from 117 days last quarter and our days payable was unchanged at 57 days. Our ROIC this quarter was nearly 21%. Finally, you will recall that we sold eight million shares in our August follow on offering, raising $38.7 million in net proceeds. This stock sale leaves us with solid liquidity position going into 2010.
Scott Kulicke: As we look into the December quarter we expect more moderate growth with revenue to increase to $115 to $120 million. While it is too early to call the March quarter, historically it has been seasonally down from much of the industry. The first calendar quarter notwithstanding many forecasters are predicting a significant increase in IC units into 2010, the LSI for instance is currently forecasting 9.6% growth in semi-conductor unit volume. Historically IC units have been the principle driver of demand for K&S ball bonder and expendable tools product lines. Any cyclical increase in IC unit demand should also drive growth in our recently acquired heavy wire wedge bonding business where sales are driven by unit volumes of power management and a high power application ICs. Layered on top of this is demand from the LED packaging market. LED unit volumes continue to grow at a rapid pace. While K&S is a new entrant in the LED market the same strength that have made us the market leader in IC assembly has allowed us to quickly carve out a reasonable market position in LED. Revenue for LED assembly is all incremental to our traditional business. Next, we believe that the industries transition from gold wire to copper wire has the potential to drive a significant wire bonder replacement cycle. Our view is that a sizeable portion of today’s install based of wire bonders is not suitable for conversion to copper wire. These older bonders lack the process capability that reliably bond copper and conversion is not economically feasible. The high price of gold has accelerated our customer’s efforts to convert to copper wire. For at least one of our subcontract customers, early adoption of K&S copper wire bond technology has led to market share gains. Conversion to copper wire has the potential to create significant incremental demand from ball bonders over the next few years. We are also excited about the potential for incremental growth through our recently introduce iStack die bonder. Our initial demos and quals have proven that K&S has reset the standard for stack die, die bonding both in terms productivity and of accuracy. We expect to start to convert quals of purchase orders and end shipments during the March quarter. Our optimism isn’t just about revenue opportunities. We are midway through a series of previously announced actions designed to deliver manufacturing cost reductions in both our equipment and expendable tools product lines. These actions include our newly opened subassembly and supply chain facility in Malaysia which has started building selected subsystems for our Singapore final assembly factory as well as the ongoing consolidation of manufacturing in China. In 2010 we will move heavy wire wedge bonder manufactured in Asia as well with subsystems go in Malaysia and final machine shipped from Singapore. Taken together these various propends should continue to drive down our manufacturing costs. As you know, K&S stated strategy is to simultaneously pursue the goals of being the technology leader and the cost leader in each of our major product lines. Our success in executing against these goals is evident in both the success we’re having in the marketplace and in our return to profitability. We expect more of both in 2010. We’d be happy to take a few questions.
Operator: (Operator Instructions) Your first question comes from Krish Sankar – Bank of America – Merrill Lynch
Krish Sankar – Bank of America – Merrill Lynch: You briefly touched upon the fact that calendar one, two is seasonally weak. Do you think you’re going to see normal seasonality this time coming off a deep bottom the seasonality might not be along this time?
Scott Kulicke: That’s a touch question. We argue a lot among ourselves about normal seasonality because our data says this business is seasonal except when its not. I’m not sure that I can say for starters what normal seasonality is. Secondly, there’s nothing about this year that has been normal in my experience. I’ve been doing this for a long time. Both the downturn and the rebound are without precedence. I’m not sure that we’re not all using seasonality as an excuse for lack of visibility and we’re all just sort of plugging the idea that margins could be weak and that’s going to be our excuse. I know for us, an awful lot of our planning revolves around looking past the March quarter because after all its only a quarter and it is the quarter where you have the tail end of Christmas plus the lunar new year. When we look into 2010 we see a lot more good things on the horizon then bad things. As we mentioned in our opening remarks, most of the forecasters that we’re listening to are projecting significant increases in IC units. That’s all good and should try demand. Layer on top of the LED business which is developing into a nice solid business for us, that’s incremental demand. Layer on top of that in the ball bonder space the potential for significant replacement cycle, that’s incremental demand over the units. Then you have die bonders and then you have cost reduction and we feel pretty good about 2010 because of all of that.
Krish Sankar – Bank of America – Merrill Lynch: If I look at your calendar Q4 guidance semi-conductor guidance for the core semi-conductor business do you think it seems to move higher from here or do you need memory to come back or do you think the core business can grow this case on end demand from the OSAT guys?
Scott Kulicke: Yes it could grow just from the OSAT guys. We have at least one OSAT customer who is one of our biggest customers who is very bullish. Part of their bullishness is they’re taking share from their competitors but they’ve got a really aggressive plan and they’re big for a reason. We take some confidence from their confidence.
Krish Sankar – Bank of America – Merrill Lynch: On the LED side bonder side how do we think of the overall unit, the number of bonder units run rate for 2010-2011 for the industry?
Scott Kulicke: Very round numbers our view is that the LED segment of the industry is taking, I’m extrapolating from what we got and what we think our share is, it taking in total from us and from ASM Pacific who is the other big supplier, its probably taking around 1,000 bonders a year, that order of magnitude. They used to get 100% of that. We think we’re up somewhere the 30% market share of the last couple quarters and we’re still driving for further penetration into their market.
Operator: Your next question comes from Andrew Schopick - Nutmeg Securities
Andrew Schopick - Nutmeg Securities: Tax rate expectations for the current fiscal year cash and book, what are they going to look like?
Mike Morris: I would with a 10% book and a 10% cash tax rate for the next quarter and for the full fiscal year.
Andrew Schopick - Nutmeg Securities: Capacity utilization at your customers, can you give us a little bit of an update as to what you’ve seen over the course of your fiscal year?
Scott Kulicke: We’ll update the chart on the website. The one that you’ve got probably goes back to beginning of October, end of August, that long ago. Right now I won’t give you all the history of the year but in general about this time last year, capacity utilization plummeted from what was already trough of cycle levels, that is to say from the middle 70% it plummeted down to 45%. Since we’ve been keeping track of this data it has never been that low. Interestingly it came back almost as quickly in the spring and it is now bouncing around in the middle low 80%, so 84% to 82% which is traditionally peak of cycle kinds of levels. That is absolutely consistent with the idea that customers have been buying bonders at almost peak of cycle kinds of levels as well. Current quarter is a very strong quarter for bonders and for expendable tools so it all fits.
Andrew Schopick - Nutmeg Securities: I want to come back to another segment of your business, the wedge bonding business you haven’t really talked too much about that on the call today. How is that performing relative to your expectations since the acquisition of that product area?
Scott Kulicke: Certainly the last few quarters have been horrible, like the rest of the business. They have started to come back, the September quarter was a much better quarter, the best quarter since the acquisition. They’re getting back to reasonable levels. A lot of our focus with the wedge bonder business. Some of their customer base which is automotive driven and outside traditional electronics is still depressed so there’s still upside in their revenue stream. A lot of our efforts with them are around the cost reduction. We know there’s significant cost reduction opportunities as we move their product line to Asia next year. The pace of that move has been gated most by their inventory position. They have a ton of inventory, its one of the reasons why our DSI, while its improving still isn’t where we want it to be and we see significant operating metrics, significant improvement in gross margin for wedge bonders. Again as I said before, still upside potential on the revenue side of their business.
Andrew Schopick - Nutmeg Securities: Would you attribute the poor performance to certain industry verticals such as auto perhaps as really being the main depressant?
Scott Kulicke: Not just auto. Nobody escaped the carnage earlier this year. We’re all in that together. That they are coming back a little slower then the rest of the company I would attribute to the analysis you just gave.
Andrew Schopick - Nutmeg Securities: About industry estimates and projections, I believe that you primarily use VLSI data and it appears to me from some notes that I have from the past that clearly the ball bonder and die bonder markets have fallen well short of their more recent estimates over the course of the last few years. Do you have any general sense, realistically of what the ball bonder and die bonder businesses will look like for calendar 2009 and how that will relate to your data for 2008?
Scott Kulicke: Off the top of my head, absolutely not. I’d be completely winging that. I will say I think VLSI gives the best granularity of any of the forecasters in terms of different equipment segments. I still say they’re the people to use for that kind of data. Everybody had a bad miss in 2009 is I think pretty obvious.
Andrew Schopick - Nutmeg Securities: Can you share with us what their estimates are for the ball bonder and die bonder business for 2010?
Scott Kulicke: Not off the top of my head. We can get that for you. I’m sure if call them up directly they’d also give it to you. I don’t have it off the top of my head.
Andrew Schopick - Nutmeg Securities: You’ve got a convertible debt payment coming due, I think its $49 million next June. What is the likely scenario for retiring that convert?
Mike Morris: We’re good for the convert, we’ve been good for the convert for a while.
Andrew Schopick - Nutmeg Securities: Meaning that you’re just going to let it mature?
Mike Morris: Yes, we’re going to pay if off.
Scott Kulicke: On that in general the company has announced policy to continue to de-lever and we’re going to keep going down that path.
Andrew Schopick - Nutmeg Securities: Its the right path as was the decision to sell the gold wire business.
Scott Kulicke: Thank you.
Operator: Your next question comes from Lee Simpson – Jefferies
Lee Simpson – Jefferies: I wanted to get an idea for what do you think the replacement rate will be on ball bonders given that the progression to copper. What does that really translate as a driver for sales growth next year? If you could try to characterize what’s the tipping point for customers as far as costs, we’ll see them moving into this replacement cycle. Any maybe are we in the early stages of this already?
Scott Kulicke: Interesting questions, good questions, hard to answer with any degree of precision. First, a tipping point, we’re long past the tipping point in gold price. Whether gold was at $900 or $1,000 or $1,100 an ounce the move to copper is a gigantic relative to the cost of packaging a gigantic cost reduction. Its a one way transition. Gold could go back to $800 an ounce and people wouldn’t go back to gold, they will stay in copper once they’ve made the transition. The cost reductions are primarily in the copper wire versus gold wire but there’s also a small cost reduction available in the wafer fab as you go away from evaporated aluminum pads towards electroplated nickel palladium pads which are hard or more robust and necessary to deal with the hardness of the gold ball. We hear customers talking about significant transitions. One of our big IDN customers is a stated goal of 80% converted to copper by the end of next year. I think that’s pretty aggressive. So they miss it by a quarter or two it still gives you some sense of the magnitude of the potential shift. We see a couple of our subcontract customers AFC in particular also being very, very aggressive in the copper transition. When you look into the installed base, again I’m talking very round numbers, we use a planning estimate of about 80,000 total ball bonders in the install base. Round, round numbers again, so no rate precision, used as order of magnitude only estimates. About half of those are not in our opinion convertible. So that’s 40,000 bonders, they’re older, slower bonders generally so those 40,000 bonders again very round numbers, might require 20,000 new bonders to replace them. The 20,000 incremental bonders over the demand curve even if its over the next five years that’s a material improvement, material increase in bonder unit shipments. In a good year the industry takes 10,000 bonders or so, or an average year. Its a big bump in shipments. I’m not going to forecast which quarter it starts and what quarter they’re going to be in and how much comes in 2010 and 2011 because nobody knows. They’re all questions still to be resolved. Any way you look at it we think its significant incremental volume over the next few years. We expect that we will be one of the major beneficiaries of it, unfortunately I think ASM Pacific will also benefit from it. I think the two of us will increasingly emerge as the two guys that are serious players in the ball bonder space.
Lee Simpson – Jefferies: The split between the two on this replacement cycle should reflect the current market shares do you feel or do you think there’s a chance for disruption in market shares?
Scott Kulicke: Our goal everyday is to eat their lunch. We’re certainly planning to disrupt the current market shares. I’m sure if you would ask them they would say the same thing as well.
Lee Simpson – Jefferies: Did you give any sense for how the market splits between subcons and direct customers?
Scott Kulicke: Yes, subcons were about three quarters of the shipments, it was in Mike’s part of the thing.
Lee Simpson – Jefferies: I dare say he gave a number for the LED split and ball bonders it was due to drop this quarter as I understood?
Scott Kulicke: No, actually we didn’t give it. LEDs were a little under 10% of total bonder shipments, that is down from last quarter but that’s not because the LED units were down, that’s because of the nominator that equation that is the number of bonders we shipped especially to IC subcons was way up.
Lee Simpson – Jefferies: The wedge bonding upturn that we see in the quarter and the rest of the business. What sort of longevity at this point would you give the order volume here? Does this run for three or four quarters or is it something less sharp then that?
Scott Kulicke: Its not clear to us right now. The wedge bonders have historically had their own rhythm, a little bit different then the ball bonders, lags the ball bonders, and we’re still trying to make sense of that. Certainly the automotive and hybrid side of their business continues to lag. The part that has turned up has been the IC power management side that’s where the strength is in the current quarter.
Lee Simpson – Jefferies: If you speak to some of the mix signal chip makers in power management then they’re the power standard guys over in Europe and [inaudible] etc. Certain segments powering on and there’s some real hope for next year around that end market. Is there any way we could translate in chip units to wedge bonder ordering at this point?
Scott Kulicke: I wouldn’t want to go out on that limb just yet. Its also complicated by what we think we see as a move for more of those parts into the subcontract chain as opposed to being built by IDMs, assembled in IDM factories. A lot of the wedge bonder shipments last quarter and this quarter are to one of the big subcontractors whose getting a big footprint in that area and those package formats.
Operator: Your next question comes from Peter Wright – GC Research
Peter Wright – GC Research: On the wire bond replacement cycle who are the main customers that are participating in it?
Scott Kulicke: We talked about a perspective cycle so participating is a little bit misleading and I don’t want to mislead anybody. If I look at who are the people that are most aggressive on the copper conversion. On the IDM side I would point out in particular KEI who is incredibly aggressive and TI gets the credit, they were one of our development partners in the whole process. We spearheaded an informal molding company working group to deal with molding problems, bond and robustness problems, wire bonder problems and TI was the lead on that in terms of doing the bond patent work because they controlled their own FAS. TI I clearly mentioned is way out in front on the IDM side. ST is also very aggressive. On the subcontractor side I’d say that ASE is clearly in the forefront, Spill is working hard at it. We have, I don’t know, 60 odd companies that are working on copper conversion right now. Those four are the ones that I think are probably most noteworthy.
Peter Wright – GC Research: That answers even more specifically I guess what I was looking for. Its more the logic side then the memory side?
Scott Kulicke: The memory side, interestingly hasn’t shown a lot of interest in copper conversion. We talked about it just recently as yesterday. They say our wires are real short and we’ve got bigger fish to fry. It surprises me, my guess is that someday somebody is going to say no we’ve got to convert and they will all move in a herd to convert rapidly. Right now the memory guys continue to be lagers in the copper wire conversion. If you can get a better answer from them then we get, please give me a call because we don’t understand it.
Peter Wright – GC Research: On the LED side, what do you think your current share is in that market?
Scott Kulicke: Its a market we’re still learning so I’m going to be pretty loose in our estimate. We think we’re still only at 25% to 30%. That doesn’t sound like very much but remember we only introduced an LED formally a LED bonder last quarter. We’ve only really been participating in the market for about a year. We’re really happy with the slope of our market share herd and we think we got more to go.
Peter Wright – GC Research: There isn’t a lot of mom & pop’s its pretty much just two guys?
Scott Kulicke: In terms of the bonder side, yes its ASM who is absolutely the dominant player, Shinkawa a little bit with Japanese guys, but now us and we’re targeting across the board, broad range of applications both little Chinese mom & pop shops right up to the Samsung LED type guys.
Operator: Your next question comes from [Weng Yang] – Oppenheimer
[Weng Yang] – Oppenheimer: Regarding your equipment operating margin I’d like to get a calculation around 3.4% and the 40% jump through rate. This compared to the last peak it looks pretty low. Could you give some explanation around why on the increment side operating margins remain still pretty low at this point?
Scott Kulicke: You have to remember that we’re carrying all the operating expenses of the die bonder business and no revenue to speak of. You have to front end load those expenses, the engineering expenses, the development expenses, all the sales and services support your calls and we don’t expect to get first orders, first revenue in there until the March quarter. That significantly drives down the operating margin on the equipment segment.
[Weng Yang] – Oppenheimer: Do we see notable improvement in June quarter next year?
Scott Kulicke: You’re really asking me what’s the rate of the revenue increase, how quickly will we penetrate that. I’m going to duck that question. It won’t be a step function. We are the new guy on the block, people are not going to bet the farm on us just yet, we’re going to have to prove ourselves. The quals have taken a long time, although we have done very well in every qual but typically customers will qual an application and we’ll do well then they’ll say let’s try a different application, we’ve got to go through the application and then we run applications then they’re going to buy a couple units and see how that does then they’ll place some real volume orders with us. We expect it will be a while for that revenue curve to peak. Its through that yes we will have an operating expense problem that will drag down total margins. It’ll get better.
[Weng Yang] – Oppenheimer: Back to copper conversion, between the copper conversion kit and the new equipment purchase offered what’s the percentage between those two buckets in terms of the total conversion? What kind of growth margin profile you’re looking at for each bucket.
Scott Kulicke: There’s not a significant difference in the margin profile. The copper machines or copper converted machines have an improved margin but its within the noise of normal customer variations. I guess almost a half of the machines we shipped last quarter. Its a hard question to answer, I’m not trying to duck it. We basically sell people a machine and a kit and sometimes we install the kit and sometimes they install the kit. If I look at number of kits versus number of bonders about half, the numbers of kits was about half the total number of bonders we shipped in the quarter. That number is growing in the current quarter.
[Weng Yang] – Oppenheimer: When you deal with the subcons and what’s their current utilization rate on the ball bonders and do you have any visibility on their inventories at this moment and moving forward?
Scott Kulicke: No, we almost never have inventory visibility on our customers. The answer is I can’t help you with that one. We don’t break out subcon utilization from IDM utilization but we do talk about total utilization and total utilization across the companies we survey about 40% of the install base when we do our utilization number. We think its statistically significant and its running in the middle low 80s right now.
Operator: There are no further questions at this time. I’ll turn the floor back over to Scott Kulicke for closing comments.
Scott Kulicke: We’d like to thank you all. If you have any follow on questions please give Tom Johnson a call and he’ll track down either Mike or me to answer it. Thank you very much.
Operator: This does conclude today’s teleconference. You may disconnect your lines at this time and we thank you for your participation.